Operator: Good day and thank you for standing by. Welcome to the Hanesbrands Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, TC. Robillard, Vice President of Investor Relations. Please go ahead.
TC Robillard: Good day, everyone, and welcome to the Hanesbrands quarterly investor conference call and webcast. We're pleased to be here today to provide an update on our progress after the fourth quarter of 2022. Hopefully, everyone has had a chance to review the news release we issued earlier today. The news release, updated FAQ document and the replay of this call can be found in the Investors section of our hanes.com website. On the call today, we may make forward-looking statements either in our prepared remarks or in the associated question-and-answer session. These statements are based on current expectations or beliefs and are subject to certain risks and uncertainties that may cause actual results to differ materially. These risks include those related to current macroeconomic condition, consumer demand dynamics, the inflationary environment, cybersecurity and our previously disclosed ransomware incident and any on-going impact of the COVID-19 pandemic. These risks also include those detailed in our various filings with the SEC, which may be found on our website as well as in our news releases. The company does not undertake to update or revise any forward-looking statements, which speak only to the time at which they are made. Unless otherwise noted, today's references to our consolidated financial results and guidance exclude all restructuring and other action-related charges and speak to continuing operations. Additional information, including a reconciliation of these and other non-GAAP performance measures to GAAP, can be found in today's news release. Any references to 2019 reflects rebase 2019 results consistent with prior disclosures and can be found in our investor relations website. With me on the call today are Steve Bratspies, our Chief Executive Officer; Michael Dastugue, our Chief Financial Officer and Scott Lewis, our Chief Accounting Officer. For today's call, Steve and Michael will provide some brief remarks, and then we'll open it up to your questions. I'll now turn the call over to Steve.
Steve Bratspies: Thank you TC. Good morning everyone, and welcome. For the quarter, Hanesbrands delivered sales that were above the high end of our forecast and adjusted operating profit and earnings per share that were essentially at the midpoint of our range. I’d like to start by thanking all of our associates around the world. The Global operating environment has been anything but easy over the last three years. However, despite the significant volatility and uncertainty through their dedication and hard work, we've been able to deliver for our consumers, serve our retail partners, and continue to progress on our full potential plan. I'm most grateful and proud of their tremendous efforts. While I'm pleased we delivered on our guidance under difficult operating conditions, we expect the macro economic challenges impacting consumer demand and the lingering pressure from inflation to continue in 2023, particularly in the first half. Consistent with the mind-set we've adopted since my first day, we're not standing still. We’ll continue a proactive approach, remain agile and continue to adapt. Focusing on the things we can control and taking action allows us to manage their short-term challenges, while at the same time continue to implement our long-term transformation strategy. To that end, there are three important topics I'd like to discuss today. First, the near term actions we're taking toward reducing our leverage and strengthening our balance sheet. Second, the path to higher margins and operating cash flows as the year unfolds, including actions to mitigate near term macro related challenges. And third, an update on the implementation and progress of our full potential plan. Let me walk you through each of these beginning with our strategic actions to strengthen the long-term financial foundation of the company. Today, we announced we're shifting our capital allocation strategy, eliminating the dividend and committing to reducing debt. To be clear, investing in the business and our full potential growth plan remains the priority for capital allocation. And we believe we are well positioned to fund these investments through operating cash flow. What's changing is the allocation of our free cash flow, which will now fully direct toward accelerating debt reduction. This decision was not made lightly. And we believe that a meaningful reduction in our debt will drive significantly higher shareholder returns long-term. We also updated our credit facility management to drive greater near term flexibility, given the uncertain macroeconomic environment. Michael will discuss this further in his section. In addition to these actions, we expect to refinance our 2024 maturities in the first quarter of this year, subject to market conditions. Turning to margins and cash flow, we see the path to higher margins and operating cash flow as the year unfolds. The lower cost inventory we're currently producing should begin to hit our P&L in the second half, particularly in the fourth quarter. We'll anniversary last years’ time out costs, and we're well positioned to benefit from the actions we're taking to help mitigate the near term macro related challenges. Looking at our mitigation actions, last year we set an aggressive target to reduce our inventory units by the end of 2022, which we accomplished. This created a short term drag on second half gross margins as we took time out in our manufacturing facilities. However, by taking this action, we believe we're well positioned to release working capital and drive operating cash flow this year. We also began and expanded upon a number of cost savings initiatives, including exiting unproductive facilities, consolidating sourcing vendors, and aggressively managing SG&A. Looking to 2023 we're building on these initiatives with additional cost reductions as well as prudent investment management. We reduced corporate headcount in January. We're expanding our savings actions across our procurement operations, including contract renegotiations, and we're strategically managing our investments to align with the current macro environment, just to name a few. We believe the combination of these actions positions us to generate approximately $500 million in operating cash flow in 2023, to exit the year with a meaningfully higher run rate for both gross and operating margins, and to operate more efficiently, which unlocks long term growth. Lastly, I'd like to touch on our full potential plan. Our long-term strategy is fundamentally unchanged. The plan we are executing is right, and our long-term financial targets remain. However, given the realities of the near-term, macroeconomic and consumer demand environment, our timetable has shifted to the end of 2026. Though the timeline has shifted, we're confident in our ability to deliver $8 billion of sales, and he made 14% operating margin. Our confidence is reinforced by the improvements we've made in the way our business operates. We've added new capabilities across the organization and exited non-strategic businesses. We've enhanced our inventory and demand planning processes as well as streamlined our innovation process and innerware, which began to bear fruit with the launch of our Hanes originals product. We've improved the go-forward efficiency and effectiveness of our supply chain. We reduce global skews by 45% since 2019, as well as exited unproductive facilities. We're consolidating distribution centers, and we're generating high single digit savings rates in our sourcing and procurement operations. Plus, we're continuing our technology investments to improve our data analytics, drive global integration, efficiency, and ultimately lower costs. We've also changed leadership and our global activewear business, the new team is moving fast. They're streamlining the operating model, including global coordination of product design and merchandising, increased speed to market and portfolio simplification. This in turn is expected to drive a more focused global product and channel segmentation strategy that provides greater clarity to retailers and consumers as well as improves the long-term health of both the Champion and Hanes activewear brands. It's also expected to build the right foundation to drive revenue and margin growth well beyond the timeline of our full potential plan. We've accomplished a lot. There's no doubt that we're a better, more disciplined operating company today than we were just two years ago. But we're not done. And we'll continue to make progress this year. So in closing, we'll continue our proactive approach, remain agile, and continue to adapt to serve our customers innovate and reduce costs while continuing to execute our long-term transformation strategy. We're making progress, and we see the path to improving cash flow and margins as the year unfolds. Before I turn the call over, I want to take a moment to thank Michael for his contributions to Hanes Brands over the past two years. He's been instrumental in the progress we've made to unlock our full potential. Michael has been a great partner, and I respect his desire to spend more time with his family. To that end, I'm pleased to have Scott Lewis step back into the interim CFO role. As you all know, Scott held this role before Michael joined the Company and performed extremely well. I'm confident in Scott and our entire finance team as we move forward. So thank you both Michael and Scott. And with that, I'll turn the call over to Michael.
Michael Dastugue: Thanks, Steve. I really appreciated the opportunity, and I'm proud of what we've accomplished over the past two years. I'm confident in the full potential plan. And I know you and the company are in great hands with Scott and the entire finance team. For today's call, I break my comments into three sections. First, I'll highlight a couple of key items from our fourth quarter results. Second, I'll address our debt and our actions to strengthen the balance sheet. And third, I'll provide some thoughts on our 2023 outlook. With respect to the fourth quarter, I was encouraged by the team's ability to deliver results that were in line or above our outlook despite the challenging environment. I'll point you to the news release for the details, including our segment performance. However, I would like to provide additional context on inventory, as well as the non-cash adjustment to our deferred tax asset as they drive some of the assumptions in our 2023 outlook. Starting with inventory. As Steve mentioned, we accomplished our goal as we ended the year with inventory units 6% below prior year. As expected, timeout actions we took in our manufacturing operations to deliver on our goal resulted in a drag of approximately 220 basis points to fourth quarter gross margins. However, by quickly aligning inventory units with demand, we believe we're positioned to generate better efficiencies, and more importantly, to release working capital and drive operating cash flow back to more historical levels in 2023. Looking at deferred taxes, we recorded a reserve in the quarter, which was not contemplated in our GAAP guidance. Based on recent results, as well as our 2023 outlook, which reflects meaningfully higher interest expense, we were unlikely to utilize this asset in the short term. Therefore accounting rules required we record a reserve against this asset. Additionally, and related to the deferred tax asset accounting treatment, this will increase accounting tax expense and the effective tax rate in 2023. However, I'll note this reserve is non-cash and therefore does not impact our cash taxes. Next, I'd like to take a moment to address our balance sheet and leverage. We've taken a number of proactive steps to further increase our financial flexibility as well as de risk the balance sheet long-term. We've made a commitment to meaningfully reduce our debt. To accelerate this process, we've shifted our capital allocation strategy. We have eliminated the quarterly cash dividend to focus all of our free cash flow, which we defined as cash flow from operating spends less capital expenditures to pay down debt and bring our leverage back to a range that's no greater than two to three times on a net debt to adjusted EBITDA basis. We also work with our bank group to adjust our credit facility amendment to provide additional near term flexibility given the continued uncertainty in the macroeconomic environment. Specifically, we increase the leverage show by one to one and a half turns for Q1 through Q3 this year, and we extended the relief period by one quarter, which now runs through the end of the first quarter of 2024. Summary details of the amendment can be found on our IR website. We are also working to de risk the balance sheet in the near term. We've already begun the process and we are working with the necessary parties and subject to market conditions we expect to refinance our 2024 maturities in the first quarter of this year. And now turning to 2023 guidance, I'll point you to our news release and FAQ document for additional details. But I'd like to share a few thoughts to frame our outlook. At a high level, given the continued macroeconomic uncertainty, we have taken a muted view of consumer demand in 2023. This is expected most pronounced in the first quarter as we overlap last year strong results. For Q1 at the midpoint, we expect net sales to decline 11% compared to prior year in constant currency, or 13% on a reported basis. Looking at the full year, we expect net sales to decline 1% in constant currency or approximately 2% on a reported basis, as comparisons ease beginning in the second quarter. With respect to gross and operating margins as we communicated last quarter, we expect margin pressure to continue through the first half as we sell through the remainder of our high cost inventory. As we move through the second half, particularly the fourth quarter, we expect year-over-year margin improvement as we begin selling lower cost inventory and we anniversary last year's manufacturing timeout cost. Looking at adjusted gross margin, for the first quarter we expect a decline of approximately 300 basis points as compared to prior year. This reflects a headwind of more than 300 basis points from commodity and freight inflation as we continue to sell through our higher cost inventory. For the full year we expect adjusted gross margin to be flat to slightly down as compared to prior year. In terms of adjusted SG&A, at the midpoint we expect first quarter SG&A to be relatively consistent with prior year on $1 basis. However, given the sales outlook, we expect SG&A which carries a higher fixed cost component to delever approximately 370 basis points as compared to last year. For the full year we expect a slight increase in SG&A dollars. On a percent of sales basis, we expect SG&A leverage to improve over the course of the year as sales comparisons ease. For adjusted operating profit our outlook is for a range of $500 million to $550 million for the full year and a range of $50 million to $70 million for the first quarter. We expect adjusted interest and other expense to be nearly $300 million for the full year, an increase of approximately $130 million over prior year. Our outlook assumes that we refinance approximately $1.4 billion of our 2024 maturities at current market rates in the first quarter, as well as higher average rate on our variable rate debt. For the first quarter, we expect adjusted interest and other expense to be approximately $65 million. With respect to taxes, our outlook reflects an adjusted tax expense of approximately $90 million to $100 million for the full year, and approximately $17 million to $20 million for the first quarter. With respect to earnings per share for the full year, we expect adjusted earnings per share from continuing operations to range from $0.31 to $0.42. For the first quarter, we expect adjusted EPS from continuing operations to range from a loss of $0.09 to a loss of $0.04. And lastly, we are well positioned to release working capital and drive operating cash flow back to more historical levels in 2023. For the full year, we expect to generate approximately $500 million in cash from operations. So in closing, although the macro related challenges are masking the progress we've made, I'm encouraged by the improvements we've made and the actions we're taking to transform the business. We're taking steps to meaningfully reduce our debt. We see the path to improving margins by the end of the year as inflation eases and we benefit from our savings initiatives for driving higher operating cash flow, and we're continuing to progress on implementing our full potential plan. We believe this will drive higher sales, profits and shareholder returns over time. And with that, I'll turn the call over to TC.
TC Robillard: Thanks Michael. That concludes our prepared remarks. We’ll now begin taking your questions and we'll continue with time allows. I'll turn the call back over to the operator to begin the question-and-answer session. Operator?
Operator: [Operator Instructions] Our first question comes from a line of Omar Saad with Evercore ISI. Omar, your line is now open.
Omar Saad: Thanks. Good morning. Thanks for all the information and the update today. I guess, I want to ask you about given all the news information today, maybe looking at both the business and the capital structure and the leverage position that you're in, what, what gives you confidence that things are going to improve from here? Are you finding on the leverage side? Are you finding that the debt markets are open to refi? And maybe a little bit of like, going back in time and evaluating some of the decisions that were made along the lines? What could be done differently in the future as you guys think about leverage and the underlying nature of the business? Thanks.
Steve Bratspies: Sure. Good morning Omar, and thanks for the question. Let me start with confidence in the business. And then we'll get into capital allocation. I have a lot of confidence in this business. And we continue to improve upon the foundational capabilities in the business. I go back and I look at a little short-term history. We came out of 2021, really strong. First quarter 2022 was really strong. And we felt good about the business. And obviously things pivoted in the macro environment in Q2. And we've had a lot of headwinds since that point. But the foundational capabilities of the company that we've been putting into place through full potential plan continue to improve. I now really believe we're stronger company today than we were process improvements are better. We have a lot new and expanded supply chain capabilities, new leadership team, particularly across active where our innovation pipeline is stronger. And we continue to make the investments that need to be made in the long-term, company, particularly in things like technology. And so as you go into 2023, I think we have foundational capabilities that are going to continue to get stronger. But we're facing continued headwinds, certainly on the top line. We think the consumer challenge is going to stick around for a while. So we have a bit of a muted, look forward in 2023 of the top line. But I'm encouraged to see that our margins are going to improve as we come into the back half of the year as that more expensive cost of goods start to roll through the P&L, and we get the better stuff that we're making right now. And I’m going to return to cash flow positive. So the foundational fundamental operating in the company, I think it's better today than it was. And I think there's a lot of upside as we go forward as we continue to invest, continue to make good decisions both for the short-term and for the long-term. Now, capital allocation, as I said, we're going to return to positive cash flow this year, and I believe and we're confident in the long-term cash flow generation of the company. But as we look at kind of where we are, when we look at the capital structure of the company, and we look at being able to build as much flexibility into the balance sheet going forward, we thought it was prudent to make a shift in how we're thinking about allocating that capital. Number one priority remains investing in the business. We believe in the plan that we have already teaches that to build the capabilities that we need. But we are making a shift for our free cash flow, to focus on debt reduction, which means the elimination of dividend as we announced. We think between investing in a business and paying down debt is what's going to position us in the long run for the best shareholder returns. We're going to be thoughtful about allocation as we go forward. As things change we'll obviously always continue to look at it both in the short-term and long-term, but we think that's the right position for us to be in today.
Omar Saad: Got it? Thanks. Good luck.
Steve Bratspies: Thanks, Omar.
Operator: Our next question comes from the line of Tom Nikic with Wedbush. Your line is now open.
Tom Nikic: Hey, good morning. Thanks for taking my question. So I want to ask about, I guess the top line progression for the year. So I think obviously, retailers are still planning inventories pretty conservatively, to start 2023. And I think you've guided to a big decline in Q1 and the guidance applies to get better later on in the year. Do you think that the retailer inventory actions are pretty much done in Q1 and at that point inventories will be rebased to where they need to be? And then that that kind of positions you for a more favorable top line environment or I guess I'm just kind of think like how the shape of the year looks like, would you expect Q2 to be down as well. Just trying to figure out like how we should think about the recovery on the top line?
Steve Bratspies: Yes, I think the way you should think about it, first stop [Indiscernible] we're seeing a muted view of the consumer this year in terms of their draw from category, which is going to be a challenge as we go forward. And underneath that, you look at retail inventory; it really can vary by the business that we're in. You look at the innerwear business; certainly we're in a replenishment business. So when retailers take significant inventory action to reduce inventory across the board and apparel, the replenishment businesses can get impacted. First, we saw that happen. And we continue to work through that even though we look at our inventory levels. And we're just below where we were in innerwear versus Q1 of last year. So we see opportunity to continue to build that inventory back. I would expect you would see that in the innerwear business start to rebuild and inventory start to rebuild faster than you would necessarily in activewear. In inactive, there's still pockets that have a lot of inventory out there. It does vary by channel, it does vary by customer. And yes, some of them were promotional driven inventory factors and others, some have managed inventory a little bit there. So it's a bit of a hit and misses. So I think [Indiscernible] will take a little bit of time to continue to work itself through the system. But we're going into the year with a conservative view of the consumer and the top line.
Tom Nikic: Understood. Thanks very much.
Operator: Our next question comes from the line of Michael Binetti with Credit Suisse. Your line is now open.
Michael Binetti: Hey, guys, hope you can hear me. Okay. So I guess with that in mind, to kind of jump off of that question. Can you give us an indication of the -- give us the thoughts on the replenishment and working through inventory, but maybe its thoughts on how Champion fall order books look. I want to see what maybe the response to some of the new product is? Obviously, there's a lot of factors at play here. But I guess what factors are you looking for to help you anticipate when restocking can begin in the mass channel in the U.S? And then my final one is I think you said inventory units down 6% with the dollars up 25. I just want to make sure I heard that correct. Because that seems to imply something like price per unit up in the 30% range. Maybe just walk me through that if I'm missing anything obvious.
Steve Bratspies: Yes. So in terms of restocking in the mass channel, we talk to our customers and our partners closely all the time, and kind of understand where they are. We're also working very closely to find specific opportunities. There's always different pockets by different customer, by different products, to be able to use the data and analytics that we're building to find those opportunities. So I would expect those channels to probably come back faster than others. But again, it ties back with the consumer. And obviously, we all want to match shipments. They want to match up with the POS. We want to match up with the POS, so we don't end up with big pockets of inventory to the positive or to the negative. So as we see relatively conservative view of consumer demand, we're trying to match inventory to that point. So that should come back, late first quarter, early second quarter, we get back to a more normalized matching of POS to shipments as we go forward. In terms of inventory, yes dollars are up about 25%. When you think about that difference versus unit, it's about half inflation, and the other half would be roughly mix. So when you think about unit costs, you're probably up in the in the low to mid-teens, when you average all that out.
Scott Lewis: And good morning, Michael, this is Scott. Just to add a couple of things to the inventory. I feel like we were in a really good shape and that the health of the inventory. Think we're in good shape there. The vast majority of the inventory is replenishment in nature. So the quality inventory is really good. And if you think about inventory itself, and we've been very proactive in managing our inventory levels, like we talked about earlier in the prepared remarks. We took time out at our manufacturing facilities. We offered [ph] to exit a couple of manufacturing facilities as we are optimizing our manufacturing network so that really positions us really well going into 2023. And it should drive working capital benefits as we move over the course of 2023. So feel good about it. We again, units for now we met our goal of our units being down 6% compared to last year, and we're not stopping there and we’re looking to reducing it again, really drive away capital benefit as we move forward.
Michael Binetti: Thanks, guys.
Operator: Our next question comes from a line of Ike Boruchow with Wells Fargo.
Ike Boruchow: Hey, hey, good morning, guys. A couple of quick housekeeping questions. Excuse me on the model on the elevated interest, the 130. Is there any way you could break out how much of that is from the variable debt versus how much is the expectation on the refi on the tax rate? That's I think, if my math is right, if they can imply 40% rate, I understand the dynamic this year. I'm just kind of curious, like when we go past this year into deferred tax dynamic, does that tax rate revert back to I believe your high teens run rate once we get through there? And the last one, just on the inventory? Is there a way, I think you're saying that the inventory is going to be a cash benefit this year? Is there like an inventory dollar amount you can kind of let us know or something you let us know, by year-end on your expectation on the balance sheet? Thank you.
Michael Dastugue: Hey Ike, this is Michael. With regard to the interest because it factors in financing, there's a number of different scenarios that could play out between the mix between fixed and floating. So I think we'll just stick with the 300 million at this point. As we work through the financing, then would probably be a lot more granularity or certainty you could -- we could provide you about what's the ultimate fixed floating mix there. With regard to the -- your question on the tax rate? Yes, the effective tax rate, as you look at 2023 is in the area of 40% to 45%. And what will happen? I'm not sure I caught the tail end of the comments you were making. But as you think about this deferred tax accounting, what will happen over time is that it will return to normalized levels, but it could take several numbers of years. And once again, it does not have an impact on the cash tax payments. So for perspective, the cash tax payments in 2023 are expected to be in the neighborhood of 90 million to 100 million, which is essentially where they were in 2022 and 2021. So the last question was on inventory.
Steve Bratspies: Yes, and I’ll take that one Michael. So on inventory we don't got to a specific target about the inventory by the end of the year. But again, they kind of talking about expectations and working capital is going to drive a lot of the benefits in the cash flow perspective. And I know you've been with us a while so you know the cadence of our inventory. As we look in the first half, we typically use cash. And the first half as we are supporting the back of school season and looking to drive the inventory down over the course of the rest of the year. And as you think about our cash flow, again, we're your guiding to $500 million. That's a good mix of again, heavy working capital benefit, and the net income that drops from a profitability standpoint. But we can still really good about the cadence and being able to drop that working capital benefit or really revert back into a good position to cash standpoint.
Ike Boruchow: Got it. Super helpful. Thank you.
Operator: Our next question comes from the line of Paul Kearney with Barclays.
Paul Kearney: Hey, good morning. Thanks for taking my question. Can you talk a little bit more about what's embedded behind maybe your segments in the full year guidance for sales for innerwear versus activewear? And then where are you seeing pricing and promotion shaking out through the year to offset any of the costs during the first half? And lastly, when do you expect to achieve the target leverage range? Thanks.
Steve Bratspies: Sure. So in terms of kind of a mix of the guide, if you will, by segment, the way I think you should think about it is will be roughly consistent across the segments for the total company guide. So no meaningful outliers across the three segments. In terms of pricing and promotion in the market I think you're two different businesses. We're looking at the start of Q1 for innerwear in particular or kind of less promo than when we've seen a lot of promotional environment. Retailers I think are working to recover some of their gross margin. And in the, in the interest base, if there was any distressed inventory, I think most of that's been worked through. So they could start to see a normal cadence of promo where, Q1 is always less than Q4 kind of on the natural basis. On the activewear side, it really varies by channel, and by customer. There's I'm seeing there's low in some areas high and others. So it just depends on where that individual customer is. There is still lots of -- out there in the market and some of that is age. So I think you're going to continue to see some promotion around that space. But we would expect that the promotional environment would begin to drop as the as the quarter progresses.
Michael Dastugue: And then, yes, I think with regard to below, we would be below three by 2025. Essentially, a couple years from now.
Paul Kearney: Thank you.
Operator: Our next question comes from a line of Jay Sole with UBS.
Jay Sole: Great, thank you so much. My question is on SG&A and the full potential plan. Maybe Steve, can you just walk us through how much of the expected SG&A savings has already been realized in 2022, maybe how much more you expect in 2023 and 2024? If you just give us an update there, that'd be super helpful. Thank you.
Steve Bratspies: Yes, there's a lot, a lot of activity going on in the SG&A space. And it's a balance of savings and investment. And I will be clear that, part of the full potential plan is we're leaning into the areas of the business that we need to continue to grow. Technology spend is going to continue to build some of that expense, some of that's capital, but we're going to continue to invest in that space. But we are taking near term action, we did do a headcount reduction in January. We are looking at other opportunities for us to continue to take costs out of our networks, and be as efficient as we possibly can. We're looking carefully at spending this year. We've been investing in our brands, but we're going to be thoughtful and kind of spend at the rate of consumer demand out there as we go forward. But we look at our model, and you look at the P&L of this company, the big savings that we need to continue to generate or revert back to where we were as in cost of goods. We need to regain the margins that we had before COVID, before all the inflation hit. And that's our focus. And we're doing that through optimizing our network, we are looking at sourcing in our contracts and how we source, we're consolidating vendors. We're looking at all the different parts of our network to continue to improve. And we think we can do that. As I said, we kind of reconfirmed the commitment of a mid-14% Op margin and the full potential plan. And we're going to continue to work costs across the board.
Jay Sole: Got it. Okay. And if I can follow up with one more. Tim [ph] has been touched on the call. But if you could elaborate a little bit more about where the headwinds are in 2023, maybe in terms of channel or geography, and then maybe talk about where some of the opportunities are for growth, perhaps beyond that'd be, that'd be helpful as well.
Steve Bratspies: Yes, and as I said, we expect it to be relatively consistent across all the segments. As I look at the market right now, and look at how the consumer is responding on a global basis. Obviously, the U.S. market inflation while softening, we still see it as well above historical levels. And it's going to continue to impact the U.S. consumer and their spending decisions, particularly in the lower income consumers. As you look back, we would expect the mass channel trend to start to improve. We are seeing decent POS early in January, which we're seeing is encouraging, running positive and most accounts, but as we talked earlier, shipments are still lagging. So there's some optimism there. When I look at our European market, it's similar to the U.S. still challenging. Their consumer sentiment is still low, so kind of cautious in the retail environment there. Asia's mixed, obviously, there's a degree of opening up. So we're seeing signs of improving traffic in large stores in Japan, which are heavy, travel dependent. China opening up with its COVID policies, so that'll help us get traffic back into our stores there, although, because the stores have been closed for so long as sitting on inventory for the past. So we have to work through that. And Australia, I would say lagging the U.S. a little bit in terms of it’s evolution going through the inflation. But we've got a really strong DTC network there and a really strong brand portfolios, and they're working hard on innovation. So you have similar consumer headwinds, but the DTC network there is relatively well positioned.
Jay Sole: Got it. Thank you so much.
Operator: Our next question comes from a line of Paul Lejuez with Citi.
Paul Lejuez: Hey, thanks guys. Just a couple. You had some big changes in your working capital this year. Curious which of those line items came in better or worse than you had initially expected or I shouldn't say initially even as of the last quarter. And maybe you could talk a little bit more about what your assumptions are, for this year on some of those major items, inventory, accounts payable, just the ones that you think can move the dial most in terms of generating that 500 million of cash from operations. And then also separate, just what percent of your items this year were manufactured internally. How does that look for 2023? Any change in your thinking about the right structure in terms of how much you do internally versus externally? Thanks.
Steve Bratspies: Sure. Why don't we take it in reverse order, let me start with manufacturing. We manufacture internally 60% to 70% of our units, which has been relatively consistent over the years fluctuates a little bit. As Scott mentioned earlier, we did take two facilities offline over the last couple of months, that was primarily driven by efficiency, not volume. So we're working hard to make all of our facilities more efficient over time. And as we build these efficiencies, an increase capacity allows us to streamline the network as we go forward. We're always looking to balance our internal versus external, and with the supply chain innovation that we've been doing as part of the full potential plan. We have new capabilities inside our supply chain to separate replenishment product versus Made to Order product versus fast Chase product. So the capabilities that we have there allow us to make certain things better and faster. But as we continue to innovate, and as we continue to move into new materials, and as we seem to be a faster moving company in certain parts of our business, we will look to continue to use strategic partners to use those products, and we may internalize them over time. But we're going to find that right balance as we go forward. And if it's a product that we think we can make cheaper and more effectively, internally, and we've done a lot of benchmarking on that we will continue to do that. And if it's smaller runs, maybe new materials, maybe a more difficult design, we'll look to outsource that over time, but the mix is staying relatively same for now.
Michael Dastugue: Yes Paul, good morning. Thanks for your question. So as far as the cash flow for 2022 and working capital, everything was pretty much in line with what we expected. As far as the contributions and working capital, like we talked about earlier with the inventory we came in, achieved our goal of lower units at the end of the year. So we came in pretty much in line with our expectations are going to be. As you move to 2023 and like I mentioned earlier, really looking to drive working capital benefit across the board. I would say in particular inventory is going to drive that benefit and just accounts payable, accounts payable and the relationship as that as the timing of procurement and production is throughout the year. We're expecting some benefits over the course of the year from the payable standpoint.
Paul Lejuez: Got it. And a new change in terms on your payables that -- that has occurred over the last year?
Michael Dastugue: No, no changes in terms.
Paul Lejuez: Thank you. Good luck.
Steve Bratspies: Yes, the one thing I would say about you have to remember with payables to inventory is that when the business is accelerating, like it was late last year, you get incredible payable leverage in terms of when you're sourcing and manufacturing. And if you looked at the balance sheet at the end of 2021, I think we were like 76% payables inventory. When you think about what we did in the back half of 2022. We significantly put decelerated, right? We took production out, we took time out. And then you look at the balance sheet where I think we're about 46%, payables to inventory, and it's really, because we were pulling back but you're still paying your vendors. When you get to a more normalized environment in terms of 2023, instead of those two extremes, I think you're going to be more in that 50%, 60% area in terms of payables to inventory. And so, when you're trying to do the math, I think that's something to keep in mind. As the as you get into a more normalized situation the payables goes back to a normal relationship with inventory.
Operator: Our next question comes from the line of David Swartz with Morningstar. David, your line is now open. David, your line is now open
David Swartz: I apologize for that. Sorry about that.
Steve Bratspies: Good morning David.
David Swartz: Steve, can you give us more information on Champion? What gives you some confidence that it's going to recover, and what categories for Champion seem to be stronger and weaker right now? And also, secondly on the dividend, can you give us some indication on when you might revisit a decision to suspend a dividend? It seems to be that the dividend was eliminated due to the lower EBITDA. And so maybe when EBITDA returns to more normal levels, perhaps you'll revisit the decision to suspend it. Thanks.
Steve Bratspies: Sure David. Let me talk about Champion first. I'm really confident in Champion and see a big opportunity in the brand. Obviously, there's some work to do right now. But there's a new team in place. They're building the foundation for both revenue and margin growth. And I think that's growth beyond the timeline of our full potential plan. They're moving fast, really focused on brand purpose, brand desire, operational effectiveness, and to drive sustainable profitable growth, around Product Design and Merchandising, increase speed and market. They've already taken three months out of our global design calendar, really working on global product and channel segmentation to really provide clarity for consumers and retailers, what the portfolio is, and what the brand stands for. B2C is a early opportunity. We've made progress. I think if you look at our site, it's much better than it was a year ago. But it's not where it needs to be. Footwear still a big opportunity and an opportunity just across the portfolio in general. So near term, there's some challenges in the brand as we continue to work through inventory. But the team is being very aggressive. We're going to see good growth in Asia, led by Japan, the collegiate [ph] channel has rebounded. We've talked about that over a number of calls in the past two years. And we expect it to continue to grow as we go forward. And we're reaching new campuses. We're in a much deeper relationships with those campuses. We've got good merchandising capabilities in that space. We are seeing good student response. We're seeing positive price mix in that area. So lots of good things there. And we're going to continue to focus on channel strategy and being really specific about where we need to go. And early on, we're getting good response from retailers. They like where we're going. They want this brand to win, that plays a really important role for them. And they liked the work that we're doing going forward. So work to be done on the brand, but confident in where it can go and what it stands for, and the work that the team is doing. And we're starting to see some interesting innovation in reverse weave and some new product for our pinnacle accounts. Our TSP product from innerwear is going to cross over and now go into Champion business this year, working on the absorbency category for Champion as well as our innerwear business. So innovation is coming. We're going to continue to lean into innovation, continue to build the brand, continue to be a more disciplined operating company around the brand and how we go to market. And I'm confident that it's going to -- it's going to continue to improve, but we have work to do this year for sure. And then on the dividend, I think what's clear to know is our focus right now is around paying down debt. And that's what we announced today, and that's where we're going to put our free cash flow book. The board is always evaluating capital allocation, both the short-term and the long-term. But right now, our focus is on reducing debt. And we think if we reduce debt and we continue to deliver against the full potential plan, that's what will drive the higher shareholder returns in the long run.
David Swartz: Did the market require you to eliminate your dividends for the refinancing?
Michael Dastugue: No the amendment, the basket does allow us to pay a dividend of upto $75 million annually. So to Steve’s point we thought it was prudent to utilize all of the cash after we've made the investments in the business to retire debt.
David Swartz: Okay, thanks for all the information today. Thanks.
Operator: Our next question comes from the line of William Reuter with Bank of America.
William Reuter: Good morning. I have two. The first is there was good commentary when you broke out the difference between inventory units and what amount of that was due to higher average unit costs. When you look at this year, what you're seeing in terms of lower cotton costs, as well as lower freight? How should we think about where your average unit cost might be I don't know six months from now or towards the end of the year?
Steve Bratspies: Yes, yes, I would, I don't know that we're going to give you a specific guidance. But I think I would tell you that the cost that we are seeing today in terms of either what we manufacture the input costs for cotton for free, those costs are coming down. And so you will see the margins in Q3, and especially in Q4 start to improve because our costs are coming down, currently, relative to where we were 6 to 12 months ago.
Scott Lewis: And we're seeing lower commodity costs, lower freight costs, all that, again, the units that we were producing today, that well, again, as we talked about, in the earlier remarks, from a margin standpoint, as you look over the course of the year, I'm very encouraged with the trends, you're going to see a sequential improvement in margins throughout the year as we are again, selling off the higher cost inventory in the first half. And as you get into the second half, especially in the fourth quarter, you're going to see some really more of a positive margin trends as we go into late in the year as we move into next year. Also we have foreign currency, from a transactional standpoint, some headwinds into the in the first half, that will subside in the back half. So again, a lot of positive trends that we're going to see in March and as you move into the latter part of the year.
Steve Bratspies: And the one thing I would just add to that Scott also is a couple 100 basis points headwind from the timeout that we took in Q3 and Q4 of last year. So you don't have that headwind as well. So when you take that headwind going away, when you take the change that we're seeing right now, we expect to see, as you said, the sequential margin improvement going forward.
Scott Lewis: And the cost savings initiatives, all these things are adding up to really a positive trend as you look late in the year and as you move forward.
William Reuter: Okay. And I guess related to that, the timing lag between when cash costs are incurred versus when those hit the P&L? What's that lag typically like?
Steve Bratspies: Around two to three quarters, depending on the product.
William Reuter: Okay. And then just lastly, for me you mentioned addressing the 24 in the first quarter, is there a situation or set of circumstances where you would consider addressing the 26 is at the same time?
Steve Bratspies: I would say right now we're focused on the 2024 maturities.
William Reuter: Got it. Okay. Thank you very much.
Steve Bratspies: Thank you.
Operator: Our next question comes from the line of Carla Casella with JPMorgan.
Carla Casella: Great. Follow on to Bill's question around that refinancing. Your thoughts and whether you're looking in the bank market versus the -- you have capacity to do unit banker bonds or secured bond.
Michael Dastugue: Yes Carla, this is Michael. As you can appreciate, we can't really discuss that at this point. But we do think that we have flexibility to access a number of the markets.
Carla Casella: Okay, great. And then a couple of cost questions. The facility timeout, is that all behind you now? Or could that also affect 1Q?
Michael Dastugue: That's all behind this. We recorded all the charges costs associated with that in 2022. There’s nothing going forward. No impact 2023.
Carla Casella: Okay. And then on SG&A, I think I heard it correctly that you expect the dollar amount of SG&A to be up year-over-year. And I'm just I was a little surprised given all the work you're doing around full potential. So could you just give us a more clarity there?
Scott Lewis: Good morning Carla. Thanks for the question there on the SG&A. I think you are exactly right. The dollars are up and there's some puts and takes for SG&A. And a couple things to consider from a higher cost standpoint. We will have higher incentive, variable compensation cost in 22. We didn't have a payout in line with a performance as we move into 23 weeks back to the how to pay out there, so you have a higher cost associated with that, and also have a higher technology investments. So we're going to continue to invest moving forward with our technology transformation initiatives that will have those offsetting that is what Steve mentioned earlier, we are in laser focused on controlling cost to action in January. The corporate headcount actions, they are to reduce costs they are. So we are against laser focus on cost control discretionary spending from a leverage standpoint, and then over the course of the year, that should improve as the sales comparison.
Carla Casella: Okay. And then just one on the amendment. Just because I don't I can't find the document yet. But you say you've increased the flexibility by one to one and a half, or one to one and a half turn over the next three quarters. So we assume that goes up by one in the first quarter and then by one and a half, and then and a two kind of peak quarters. Is that the way to think about it?
Scott Lewis: Yes. So, as an example, Q1 of 23 goes to 6.75. Q2 goes to 7.25. Q3 goes to 6.75. Q4 goes to 5.25. Q1 of 2024 goes to 5. And then the amendment period is over.
Carla Casella: Okay.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to TC Robillard for closing remarks.
TC Robillard: We like to thank you everyone for attending the call today. We look forward to speaking with you soon. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.